Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2016 CF Industries Holdings Earnings Conference Call. My name is Syed, and I will be your coordinator for today. At this time, all participants are in a listen-only mode. We'll facilitate a question-and answer session towards the end of the presentation. I would now like to turn the presentation over to your host for today, Mr. Anthony Fusco with CF Investor Relations. Sir, please proceed.
Anthony Fusco - CF Industries Holdings, Inc.: Thank you, Syed. Good morning, and thank you for joining us on this conference call for CF Industries Holdings, Inc. I'm Anthony Fusco with CF Investor Relations. Along with me today are Tony Will, our President and Chief Executive Officer; Dennis Kelleher, our Senior Vice President and Chief Financial Officer; Bert Frost, our Senior Vice President of Sales, Market Development and Supply Chain; and Chris Bohn, our Senior Vice President of Manufacturing and Distribution. CF Industries Holdings, Inc. reported its third quarter 2016 results yesterday afternoon, as did Terra Nitrogen Company, L.P. On this call, we will review the CF Industries' results in detail and discuss our outlook, referring to several slides that are posted on our website. At the end of the call, we'll host a question-and-answer session related to the company's financial results for the quarter. As you review the news release posted on the Investor Relations section of our website at cfindustries.com and as you listen to this conference call, please recognize that they contain forward-looking statements as defined by federal securities laws. Actual results may differ materially from those projected as a result of certain risks and uncertainties, including those detailed on slide three of the accompanying presentation and from time-to-time, in the company's Securities and Exchange Commission filings. These forward-looking statements are made as of today and the company assumes no obligation to update any forward-looking statements. This conference call will include a discussion of certain non-GAAP financial measures. In each case, a presentation of the most directly comparable financial measure calculated and presented in accordance with GAAP and coinciding reconciliation of the non-GAAP financial measure to the most directly comparable financial measure calculated and presented in accordance with GAAP is provided in the earnings release and the slides for this webcast presentation on the company's website, www.cfindustries.com. Now, let me introduce Tony Will, our President and CEO.
W. Anthony Will - CF Industries Holdings, Inc.: Thanks, Anthony, and good morning, everyone. Last night, we posted our financial results for the third quarter and the first nine months of 2016 in which we generated adjusted EBITDA of $83 million and $725 million, respectively, after taking into account the items detailed in our earnings release. The third quarter typically has our lowest volumes and lowest realized prices of the year and this year was no different. The nitrogen cost curve has widened and flattened, pressuring product prices as a significant amount of new capacity has come online globally. As capacity was increasing, the cost to produce and move nitrogen into market was decreasing due to lower feedstock and ocean freight cost and currency devaluations in certain production regions. In addition to low product prices and already seasonally low volume, the situation was exacerbated by a change in buyer behavior. The North American value chain delayed purchasing products given the reluctance to take inventory risks as the application season was still several months away and additional new capacity, including our own, will soon be online. As such, the channel largely took a wait and see approach to the quarter. The net result was sluggish demand in North America and nitrogen product prices that fell to multiyear lows and were often trading below international parity. Bert will discuss this in more detail including the moves we made in response to these conditions. The business generated $83 million of adjusted EBITDA in the quarter despite the challenging market conditions. A welcome new development has been the strengthening market conditions of late. Both sales volume and product prices have increased since the end of the quarter as buyers are finally moving off the sidelines and beginning to prepare for the application season. On our last call, we detailed plans to deal with difficult market conditions that are expected to persist through next year. Our continuing focus is safe, reliable operations, reducing our cost and capital expenditures and maintaining strong liquidity. At the end of the third quarter, we had over $1.5 billion in cash and an undrawn revolver. Additionally, we expect to receive roughly $800 million in cash via tax refund in the third quarter next year, which is almost $3.50 per share, so we have the strong liquidity position we desire. We have also made great progress in reducing both SG& A and direct manufacturing cost. In addition to our efforts to reduce cost and conserve cash, we highlighted our focus to complete the major capacity expansion projects at Donaldsonville and Port Neal. At Donaldsonville, we have done just that. As we announced in October, the new ammonia plant is online and producing. With the new ammonia, urea and UAN plants all running at or above nameplate capacity, the expansion project at Donaldsonville has been officially completed. At Port Neal, we are on the process of starting up the plant. We had a successful test run of the urea granulation plant in September and gas and steam have been introduced into the ammonia plant and we're proceeding with the urea plant start-up in parallel. As a result, we expect both ammonia and urea production at Port Neal to begin soon. To help make this happen, we have brought a seasoned team from Donaldsonville up to assist the Port Neal final commissioning and start-up of the plant, allowing us to leverage what we've learned from our experiences. With the completion of Donaldsonville and with Port Neal starting up, now is a good time to take a step back and assess the good and bad of the capacity expansion projects. I want to start by referring to slide 11 of the materials posted to our website. The total capital cost to build the new plants at Donaldsonville and Port Neal was $5.2 billion. Those plants are expected to produce roughly 4 million product tons per year. However, CHS paid $2.8 billion and have the rights to 1.7 million tons of that production. So, that leaves $2.4 billion of capital and roughly 2.3 million product tons for CF's account. Therefore, our resulting net capital cost was roughly $1,050 per product ton of new capacity. As page 13 suggests, while our costs have greatly exceeded our initial estimate, and we're certainly not happy about that, it is an all too common occurrence in the industry as every major North American project we could find reliable data on has similarly experienced significant cost overruns as well. What is ultimately important, though, is the capital cost per ton of new production capacity. As shown on page 13, our new plants at Donaldsonville and Port Neal have an effective capital cost per ton of production that is among the lowest of all the observable plants built recently in North America. And what is really important, as detailed on page 14, is that the effective IRR for the projects remains significantly above our cost of capital despite the increased cost and lower product price environment. The net result of all of this is that we remain pretty happy with our decision to do the capacity expansion projects and the fact that we sold an equity interest to CHS. Now, let me turn the call over to Bert, who will talk more about the market and our outlook in more detail. And then, Dennis will discuss our performance and our work on reshaping part of our debt capital structure. After which, I will offer some closing remarks. Bert?
Bert A. Frost - CF Industries Holdings, Inc.: Thanks, Tony. The supply driven market, the seasonal low demand period for fertilizer and changing buyer behavior pushed ammonia, urea and UAN prices lower throughout the third quarter, hitting multiyear lows for each of the products. In fact, nitrogen prices at the U.S. Gulf remained below international parity for most of the third quarter, as Tony mentioned. Even as of late last week, NOLA urea is trading at approximately $10 per short ton below the rest of the world. The global oversupply of nitrogen and its pressure on prices is not a new story. As we have said before, we believe 2016 represents the high watermark for urea capacity additions globally with capacity additions projected to drop off sharply after mid-2017. As an industry, we have yet to see the full impact of the new North American production capacity, but that which has come online has begun to displace imports. The low global prices have challenged the ability of high cost producers to operate. The marginal producer, which remains Chinese anthracite coal plants, have also seen production and transportation costs rise. Rail and trucking costs in China have increased and electricity subsidies for small urea producers were eliminated in April. Additionally, coal prices have increased due to government imposed mining restrictions. Anthracite lump coal prices in China has been flat for most of the third quarter, but recent published reports suggest that prices have increased 20% to 30%. This is translated to additional plants in China shutting down and fewer Chinese products being offered in the international marketplace via exports. Through the end of the quarter, approximately 8 million metric tons of annual urea capacity has been shut down in China and we anticipate that number to continue to increase. As fundamental economic pressure is affecting pricing, the Chinese port price per metric ton for urea had risen to about $220 as we enter November, up from $194 per metric ton at the end of September. Also, the average U.S. Gulf price for urea barge product was approximately $180 per short ton for the third quarter and today, it is $30 to $40 higher. We anticipate that prices in the coming quarters will also be supported by stronger demand. During the low price environment of the third quarter, customers took a new approach to purchases. While the third quarter typically has the lowest prices and lowest volumes in North America, demand was pressured more than normal. Trend of lower prices over the last 18 months has increased inventory risk in the mind of the purchaser. Over the last 10 years, customers have purchased forward, received a product out of season as inventory and then delivered the product to their customers for either fall or spring applications. Today, this is much less the case. Many domestic customers told us they did not want to purchase products in the third quarter, preferring instead to take a wait and see approach to understand how the market will develop, particularly with new capacity expected to come online in North America. This approach was a deviation from historical purchasing patterns but we responded to this environment in a few specific ways. First, we delayed the launch of our UAN fill program and we capitalized on our flexibility to export from Donaldsonville, particularly for UAN. Our sales team has put in a great deal of work in recent years to open up new markets for our product and that effort is benefiting the company now. In the third quarter, we exported a record amount of UAN for the first nine months of the year. UAN exports have increased 143% over the same period last year and risen from under 100,000 tons in 2012 to more than 700,000 tons year-to-date in 2016. We have also increased shipments of UAN to the East and Gulf Coast by way of a new vessel commission earlier this year, allowing CF to compete with imports. In the past, we have not participated in these regions in a significant way as farmers in the Corn Belt consume the vast majority of our UAN and cost effective freight options were limited. We also have a significant amount of end market storage for our products with over 1.2 million tons of ammonia storage, 1.3 million tons of UAN and over 500,000 tons of urea storage across our network. Even if buyers sat for a while on the sideline, historically, we have been able to fully operate our plant and position product for when demand materializes. As we have said many times, nitrogen is a necessary nutrient that has to be applied every year. Additionally, despite the record or near record corn and soybean crops expected this year, 2017 futures prices suggest continued profitability at the farm level for corn and soybeans. We are forecasting 88 million acres of corn and for wheat acres to remain flat at 50 million acres. Assuming that the weather cooperate, when demand for fall application season begins, we expect it to be strong. At the same time, we believe that North American downstream inventory of ammonia, urea and UAN is low following the spring application season. Urea imports were down 55% year-over-year in the third quarter as well, suggesting that purchasing activity will have to accelerate to be ready for spring. With buyers holding off purchases, we expect there to be robust just-in-time demand during the application season which, as I've outlined, we believe we are uniquely positioned to provide. We have also seen tremendous progress in our UK operations. Since CF purchased the plants at Ince and Billingham, the manufacturing teams have set a number of production records. The team there also delivered a record amount of fertilizer to UK farmers in July as their season began and they continue to move all of their products. We have also benefited from a continued decline in UK natural gas prices, which had an average price in the third quarter of 2016 of $4.08 per MMBtu compared to $6.44 per MMBtu in the same quarter of 2015. For the North American natural gas market, the December NYMEX contracts started the quarter near $3.36 per MMBtu and is currently trading at around $2.79 per MMBtu. During the third quarter of 2016, we did not enter into any additional natural gas hedges and we remain confident in the long-term outlook for low cost North American natural gas. With that, let me turn the call over to Dennis.
Dennis P. Kelleher - CF Industries Holdings, Inc.: Thanks, Bert. In the third quarter of 2016, the company reported an EBITDA loss of $6 million and a net loss per diluted share of $0.13. Included in these results on a pre-tax basis were approximately $21 million in unrealized net mark-to-market losses on our natural gas derivatives, a $22 million unrealized mark-to-market loss on an embedded derivative associated with the CHS strategic venture, $24 million of expansion cost for our Donaldsonville and Port Neal facilities, $18 million of start-up cost for the Donaldsonville ammonia plant, $3 million of net foreign currency losses related to intercompany loans, and $2 million of fees associated with the amendment of the private placement notes, partially offset by a $1 million gain on foreign currency derivatives. When taking these items into account, our adjusted EBITDA for the third quarter was $83 million and our adjusted net earnings per diluted share was $0.13. Included in these results is a realized loss of $11 million or $0.17 per MMBtu on our natural gas hedges for the third quarter of 2016. Our gross margin per ton of urea and UAN was affected by the commencement of depreciation of our capacity additions at Donaldsonville, which increased depreciation expense in the quarter by $19 million. Including this amount, total depreciation for the quarter amounted to about $83 million for the two segments and about $30 per ton and $43 per ton for urea and UAN, respectively. As we bring up the remaining plants, our depreciation will again increase. In 2017, we expect to receive a refund of approximately $800 million related to the carryback of certain U.S. tax losses from the current year to prior years, primarily related to the bonus depreciation provision in the PATH Act. The amount of this refund is dependent in part on the timing of the completion of the expansion project at Port Neal. The company now projects the 2016 pre-tax loss excluding non-controlling interest. As a result, we recorded an income tax benefit of $131 million on a pre-tax loss of $131 million. The amount recognized represents the reversal of tax provisions that we recorded in prior period this year. Interest expense for the third quarter was $31 million with another $53 million of interest being capitalized in the quarter. As the capacity expansions are completed, interest capitalization will decrease dramatically, increasing reported interest expense on the income statement. As you know, CHS is entitled to semiannual distributions resulting from its minority equity investment in CF Industries Nitrogen, LLC. The estimate of the partnership distribution earned by CHS but not yet declared for the third quarter 2016 is approximately $22 million. For the full year, the company expects to have total capital expenditures of approximately $2.3 billion, of which approximately $1.8 billion will be for the capacity expansion projects and $450 million to $475 million will be for sustaining improvement and other projects. The total completed capital cost of all capacity expansion projects both at Donaldsonville and Port Neal is estimated to be approximately $5.2 billion. For 2017, we continue to expect capital expenditures to be in the range of $400 million to $450 million, returning CapEx to maintenance levels that continue our commitment to safe, compliant and reliable operations. Let's turn now to our liquidity profile and capital structure. As we indicated in the release, due to the uncertain duration of the current low price environment, our company is taking steps to maintain strong liquidity and has made and is making certain changes to part of the debt capital structure to put in place financing more appropriate for the current business and operating environment. As of September 30, 2016, the company had a balance of cash and cash equivalents of nearly $1.6 billion and undrawn revolver and was in compliance with all applicable covenant requirements and all debt instruments. In addition to maintaining strong liquidity, our intention is to put in place a capital structure for the business we are as opposed to the business we thought we would be a year ago. We recently obtained required lender consent for an amendment of our revolving credit facility, subject to the satisfaction of specified conditions that would, among other things, change and add financial covenants, reduce the facility size from $1.5 billion to $750 million and add security interest to provide credit enhancement to the lenders. We believe this security enhancement gave the lenders confidence to give us the appropriate flexibility to continue paying our dividend. We expect to fund the prepayment of the senior notes due 2022, 2025 and 2027 and the related make whole amount with the issuance of new long-term secured debt borrowings under the company's revolving credit facility, cash on hand or a combination of any of the foregoing. As many of you recall, we issued the private placement notes when we were in the middle of the proposed combination with certain businesses of OCI. Because of that, we were unable to issue traditional registered investment grade debt. Instead, we opted to issue private placement notes with longer maturities that were spread out over time to meet our capital needs. However, the private placement covenant package is not appropriate for a standalone CF in the current operating environment. The intent of prepaying the private placement notes is to replace them with financing that has a long-term covenant structure more consistent with traditional debt capital for a cyclical industry. Before I hand the call back to Tony, I would like to end by discussing our capital allocation philosophy, which has not changed. While the current pricing environment has impacted our ratings in the near-term, we remain committed to investment grade over the long-term. We will continue our prudent approach to managing the balance sheet in order to be in a position to retire $800 million of debt coming due in 2018 and, again, in 2020. If you look at our slide 19, what you will see is that we have returned to shareholders more than twice as much as we have net invested in large projects and assets. Looking at slide 20, you can see that since 2010, our approach has resulted in our shareholders having greatly increased exposure to our underlying business as measured by nitrogen nutrient tons per 1,000 shares. With that, Tony will provide some closing remarks before we open the call to Q&A.
W. Anthony Will - CF Industries Holdings, Inc.: Thanks, Dennis. As we've tried to lay out in our slides on pages 22 through 26, we believe that CF is exceptionally well-positioned to benefit from recovery in the nitrogen sector. Although there is currently oversupply in the industry, global nitrogen demand is expected to continue to grow at roughly 2% per year. There is a lack of new plants scheduled to come online post-2017. And as a result, the global supply-demand balance should tighten leading to an increase in product prices. As this price recovery begins in 2018 and continues thereafter, CF should benefit disproportionately. As page 26 indicates a $25 per ton urea equivalent increase translates roughly to $350 million of additional EBITDA on an annual basis. Bert indicated that average published Q3 urea prices at NOLA was $180 per ton. However, prices are already $30 to $40 higher than that today. With our new plant starting up and improving market conditions, we are very excited about the future. With that, operator, we'll open the call to questions.
Operator: Thank you. Your first question comes from Chris Parkinson from Credit Suisse. Your line is open. Please go ahead.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): Thank you. As you mentioned, you've seen a nice little move in urea prices due to what's going on in China. But global UAN and ammonia hasn't really moved that much despite higher feedstock costs and some curtailments in Eastern Europe and even some extended maintenance in the Middle East. Do you just simply believe it's a matter of time before prices rebound or is demand still really that sluggish? So, any color on UAN and ammonia would be greatly appreciated. Thanks.
Bert A. Frost - CF Industries Holdings, Inc.: So, we are seeing – good morning, Chris. This is Bert. We are seeing UAN prices already move. Egypt just closed a tender this week and that was closed at $140 per metric ton, and that's up from the $125 level from the previous tender. We're seeing that prices increase in Europe, in France, as well as other locations, and in the United States. So, we're seeing activity step up in North America over the last several weeks and pricing, correspondingly, is increasing. Ammonia, we have not seen the big move yet for fall applications in North America, but we have pretty positive weather pattern in front of us, and we expect that to go fairly soon. Around the world, I think, with – around ammonia specifically, with the additions in Asia, the SABIC plant and some of the new capacity that has come online, that did pressure pricing in Q3. But we expect moderating prices on the upside as we roll into 2017.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): Perfect. And just a little more comment – another question on ammonia, I suppose. Just can you comment on just what degree or what effect the competitor ammonia supply coming online during 3Q in the U.S. you believe affected your netbacks? And how do you think this is going to evolve over the next year or two, especially, in the context of what we're still seeing from Trinidad? Thanks.
Bert A. Frost - CF Industries Holdings, Inc.: Well, I think the ammonia situation for us – it is just a lower quarter on demand. You really don't have ag demand during Q3, so it's an industrial-focused quarter. And with Tampa pricing at a low level with contracts either based on Tampa or on gas that drives the lower price for the product. And so, for our specific price realization and demand we do expect that, obviously, we're going to see an improvement in Q4 with ag and then, rolling into next year. Over the next year or two, you're right, there is additional capacity coming online. We expect most of that North American capacity to be converted into upgraded products and we have a two new plants coming online that are probably net losses for ammonia. And the current capacities coming on in the Gulf outside of CF is pretty much committed to Dyno and Cornerstone and some other movers. So, we feel fairly good about the ammonia market as well as our ability to move and continue to participate through our terminal and distribution system in the ag as well as industrial market.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): That's helpful. Thank you.
Operator: Thank you. Our next question comes from Michael Piken from Cleveland Research. Your line is open, please go ahead.
Michael Leith Piken - Cleveland Research Co. LLC: Yeah. Good morning. I was wondering if you could talk a little bit about some of the impact that the higher rail rates have had on your operations. And specifically, when some of the new capacity comes on, what type of savings might be available and if the rail companies are willing to renegotiate some of those rates? Thanks.
Bert A. Frost - CF Industries Holdings, Inc.: So, we're constantly looking at all of our costs, as Tony has mentioned, whether that be SG&A, production, CapEx. I think that in this type of an environment, we're driven to do that and, obviously, logistics is one of those areas. And our logistics team has done a great job in terms of leveraging the various platforms that we have. And what we have done – I'll tell you – the rail rates have gone up and it has been an impact on UAN. And we have met with the railroads and we continue to do, whether it's spot situations or looking at the complex as a whole. One of the things we did last year was we opened up Stolthaven, which allowed us to get on the NS and bypass some of the blocked activity we believe we're experiencing in Donaldsonville. We've also leveraged and moved up our barge participation on UAN, increasing the level and then, like I mentioned earlier, the exports. And so, we're able to achieve a fairly attractive netback moving our product to all over the globe, but principally to Argentina, Uruguay, Europe and some new markets we're developing. And we've moved to France for less than $15 a ton, $14 a ton. We can't move to St. Louis for that on UAN. And so, as you see us develop and grow and mature, we're going to continue to leverage those options to benefit us. Other opportunities for what we're doing – we've met with the railroads on shipping out of Port Neal. We have UP and BN servicing that plant and we've built that facility to fully load that product out by truck. And so, you have to take defensive measures during these times to be able to position yourselves to pull in the attractive pricing for rail and other logistical options and that's what we're doing.
Michael Leith Piken - Cleveland Research Co. LLC: Great. And could you give any sort of quantification in terms of like how much money it might save you once the urea is fully up and running in Port Neal, in terms of trucking it out of Port Neal to other locations in Midwest versus what you're currently paying out of D-ville? Thanks.
Bert A. Frost - CF Industries Holdings, Inc.: Well, it depends on where you go. I mean, obviously, D-ville is going to be a – it's a huge plant and we have a lot of urea coming out of there but most of it moves by barge and now we have the ability to move that up by vessel. Some of it will move by rail, but the product that we have been moving by rail into Iowa, Nebraska, the Dakotas, all of that will come out of Port Neal and that will all be very competitively positioned. And we can load the trucks with a pup so you can average more tons and lower your freight cost and we think that will reach 500 miles to 700 miles by truck outside of the plant. And so then it's going to have to be: do the railroads want to compete with that, and we've already worked with our customers to be able to receive this product. So, we believe that we have linked the system together to effectively serve and move our product at all times at the lowest cost possible.
Operator: Thank you. Our next question comes from Vincent Andrews from Morgan Stanley. Your line is open. Please go ahead.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Thank you, and good morning, everyone. Wondering if you could just put a little more context or frame around how soon "soon" might be at Port Neal – and maybe, what I'm trying to get at is just sort of the market dynamics seem to be a bit influx over how much incremental imports are going to be needed this year going into spring as a function of when new facilities start up. So, just curious what "soon" means and how it fits into your marketing strategy with the balance of your product?
W. Anthony Will - CF Industries Holdings, Inc.: Good morning, Vincent. Yeah. So, as I said earlier, in September, we tested the granulation part of the urea plant. We have been stockpiling ammonia into the tanks and anyone who is in the Port Neal area has seen the flare stack lit up, so we've got gas and steam going into the reformer front-end. As we work kind of from the reformer through the CO2 removal system, we're going to start sending CO2 over to the urea plant and then be able to pull ammonia out of the tanks. And so, that's what we're planning in terms of the parallel commissioning. So, it's very likely that urea will actually be online before the ammonia plant is fully up. It's a simpler plant to commission and granulation is already operational. But our expectation is it's a matter of a couple of weeks, maybe three weeks or four weeks, depends upon the number of little issues that you find as go through it. But that was fairly consistent with our experience at Donaldsonville. And hopefully we'll be able to improve on that because of the great team we've got from D-ville that's up helping the Port Neal guys. So, I would say our expectation is urea, hopefully here by the end of this month and ammonia, plus or minus a week after.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Okay. Just as a follow-up, Bert, you talked a little bit about sort of changing customer buying patterns. Sounds a little bit similar to me as what has happened in some of the other nutrients. So, just curious your view on total amount of storage capacity you have, whether you want to be or need to be more opportunistic with storage capacity. And also, you mentioned the 1 million tons of UAN, the vessels. How we should think about sort of the incremental ability going forward to use vessels both for urea and UAN to be more flexible around changes in customer buying patterns?
Bert A. Frost - CF Industries Holdings, Inc.: Yes. So, when you look at our system, as I mentioned, we do have the flexibility first on production. So, we can produce ammonia, urea, UAN and some of the other products. We will continue to do that and leverage those options up and down as the market necessitates. Then, you go into loading options where you have pipe, barge, truck, rail, vessel. Then, you go next to terminal opportunities and where those terminals are. We have taken on some additional terminalling space, which we believe is in our long-term interest in markets that we have not necessarily participated as much in the past and we can effectively serve now with our logistical options. But you're right, exports are a great opportunity because you can immediately put 40,000 tons out and load it in a day. And so, that's a great leverage point when you're looking at inventory at the plant and how you're moving it out incrementally into the interior. Buying patterns have changed and we anticipate that they'll probably be this way for another year or so. But at the end of the day, you do have to have your product in place to serve the farmer customer. You can only move so many railcars per day and railcars can only make so many trips and they have to return empty and load out and get in line. And so, we believe as that window closes and every day is another lost shipment day, that that will challenge the delivery system. And this is more of a UAN story than it is for urea because I think you can move that up by barging up through the various terminals. So, we're fairly positive looking forward into 2017. If you really look at it – if our Texas and Oklahoma, that will start applications in February; Midwest, March and then April, so you're not much more than four, five months away from application. We're just starting winter and we're already looking to spring. So, we think it's going to turn out pretty well for us.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Thanks very much for all the detail. Appreciate it.
Operator: Thank you. Our next question comes from Steve Byrne from Bank of America. Your line is open. Please go ahead.
Stephen Byrne - Bank of America Merrill Lynch: Yes, thank you. Bert, you mentioned you're looking at the opportunity to ship out of D-ville, UAN to both East Coast and West Coast, just curious about that. Does that reflect your view that post the start-up of OCI's Wever and your Port Neal plants, that UAN in the Corn Belt will become net balanced on UAN and you need to find new homes for the UAN out of D-ville?
Bert A. Frost - CF Industries Holdings, Inc.: Yeah. I wouldn't infer too much into that because what we're doing is just creating optionality for the company. And I would rather have 10 options to take 1 ton than have one option to take 10 tons. And so, we would rather create these options whether they be exports or the Coast. And we have looked at the Coast throughout the years and participated in various manners. But today, when you look at the East Coast, that's a million-ton market that we probably had 50,000 to 100,000 tons five or six years ago and I think that presents a tremendous opportunity for us. That's why we're getting on the NS, looking to get on the CSX, utilizing Courtright on the CN. The West Coast, we've got some good agreements and partnerships out there with some of the distributors. We're able to rail directly from Woodward on the BN from Donaldsonville and Port Neal on the UP, and we've been moving product by vessel through the Panama Canal to the West Coast, and that's an attractive opportunity for us. But I wouldn't – yes, new products and new production is coming online in various parts of the country and we're going to continue to participate in those areas. We ourselves are adding capacity right in the heart of the Corn Belt and we're just preparing.
W. Anthony Will - CF Industries Holdings, Inc.: Steve, the other thing to kind of remember is, as we indicated, I think in some of our materials, the nitric acid and UAN plant at Donaldsonville is kind of the largest single train that's out there at 4,500 metric ton a day, which is about, at nameplate, about 5,000 short tons a day. And that plant is running over 20% above nameplate. We've done several days here just even this week at over 6,000 tons a day. So, Bert has got a big job in terms of finding a home for all of that product given how well those plants are running. And as he pointed out, what we're trying to do is just try to get the best aggregate netback across the entire system.
Stephen Byrne - Bank of America Merrill Lynch: And just a follow-up on that, Tony, given D-ville's effective capacity is going to be greater than nameplate, what would you say longer-term is the fraction of production of that plant that will likely be exported?
W. Anthony Will - CF Industries Holdings, Inc.: That's going to really vary based on market conditions, and the trade patterns are evolving and starting to adjust for where the new capacity comes out. We certainly have an ability to export as much as 3 million tons, 4 million tons a year but that wouldn't probably be our first choice, all other things considered. The point though that I would like to highlight just to remind everybody of and we've got a slide to this effect in the appendix, that even after all of the new capacity that's in flight in North America comes online, North America is still going to be a very import-dependent region where there's about 30% of our total nitrogen demand has got to be met by imports. So, when we're exporting here and there, it really is just around the edges and, primarily, during periods of time when there isn't a lot going to ground in North America and there's demand in other regions. So, it's a way to maximize overall system netbacks, not a have-to-do kind of thing.
Stephen Byrne - Bank of America Merrill Lynch: Thank you.
Operator: Thank you. Our next question comes from Joel Jackson from BMO Capital Markets. Your line is open. Please go ahead.
Joel Jackson - BMO Capital Markets (Canada): Hi. Good morning. Just want to talk about the $1 billion of maturities that you're taking out in 2020. Maybe if you could elaborate a little more. I guess you had some pressure from the lenders on that with the covenant and I think some of that was related to the OCI deal. Can you just talk about some of the decisions around that and how soon you will be prepaying? Thanks.
Dennis P. Kelleher - CF Industries Holdings, Inc.: Sure, Joel. This is Dennis. I think you're right, and we said that in our prepared remarks that, basically, those things were taken out in September as part of financing the OCI deal. At the time we did that, we weren't in a position to issue registered debt or even 144A debt because we wouldn't have had the requisite financial information we needed to issue that. So, what we did is we looked at a couple of options. We looked at potentially taking out a three-year or five-year term loan to provide the financing. And the reason we rejected that option was because, effectively, if you look at the post closing of the OCI deal, there would have been, had we done that, around $4 billion worth of maturities occurring between sort of 2016 and 2020, 2021. And that was a concentration of maturities that really wasn't – that was a bit high risk for us. So, what we did, instead, is we went to the private placement market where we could basically throw a lot of those maturities further out to 2025 and also 2027, so that we would have a more laddered effect. Now, with the business that we intended to have coming out of that deal, which would have included three new operating plants and through time, significantly less debt and also, the operating environment that we foresaw at that time, the covenant structure in the private placement notes was not perceived to be problematic. But a couple of things happened since that point in time. A, we didn't do the CHS – we didn't do the OCI deal and so then we never got the three additional operating plants. In addition to that and certainly with respect to third quarter, things turned out a bit more adverse than we had anticipated. And so, with that highlighted to us with the need to make sure that with respect to our long dated capital, that the long dated capital that we had in place to finance the business should be long dated capital that is consistent with a business that is cyclical and goes through ups and downs and is robust to that from a covenant perspective. And the reason that that's important to us is because having a more appropriate set of covenants gives us the flexibility, as I said, with respect to the revolving credit facility to continue to pay the dividend and do other things on the equity side that would be more difficult otherwise. And so, the actions we're taking here are really around reducing the risk and uncertainty around that sort of stuff and putting our capital structure in a framework that's far more appropriate for the type of business that we are today and the environment we are in.
Joel Jackson - BMO Capital Markets (Canada): Okay. That was helpful. And the second question will ask is on the ammonia contracts with Mosaic starting in January 1. So, Mosaic obviously disclosed, I guess, last week or it was this week, sorry, that the barge is late and so, they'll be taking products from you on a different way, maybe rail. Can you talk about – will you be getting the same, during this interim period for the barge, will you be getting the same netbacks and the minimum volume, any payment changes, maybe talk about anything going on in the interim? Thanks.
W. Anthony Will - CF Industries Holdings, Inc.: Yeah, Joel, we have been in, as you would imagine, very close communication with the guys at Mosaic. So, they have been keeping us abreast of what's going on from a delivery schedule perspective on the vessel. And Bert and his counterpart have been working well at coming up with different ways to manage that situation, whether it's giving them ammonia via the pipe or send some stuff up through their terminals, doing some timed product swaps and other things like that. So, we're on top of it and kind of managing it jointly with the Mosaic guys and don't foresee that is as any kind of real issue.
Joel Jackson - BMO Capital Markets (Canada): Thank you.
Operator: Thank you. Our next question comes from Adam Samuelson from Goldman Sachs. Your line is open. Please go ahead.
Adam Samuelson - Goldman Sachs & Co.: Yes. Thanks. Good morning, everyone. Maybe first, I want to go back to, I think, it was Vincent's question about Port Neal, a question around the impact on the tax refund next year. Can you just talk about what actually has to occur by year-end to ensure the receipt of that cash tax refund next year? And if the plant presumably is not fully operational by December 31, how that will impact the timing and scope of the tax refund?
W. Anthony Will - CF Industries Holdings, Inc.: Yes. Good morning, Adam. The plant has got to be basically put in service and operational in order for us to be able to depreciate it. So, we need the plant to be running. Now, that said, as I have talked about, it's not an all-or-nothing kind of thing. We've already tested the granulation plant at urea. We are ready to put CO2 into the urea melt plant, the synthesis plant, and kind of get that up and running. The offsite have all been sort of tested and are operational. And once we've got CO2 going over to the urea plant, then the front-end of the ammonia plant is operational. So, again, this isn't an all-or-nothing kind of thing. We're putting sections of the plant in operation as we go. But again, our expectation here is, based on our experience at Donaldsonville, the urea plants are sister plants from one another and the one at D-ville started up within a week. So, we think we have plenty of time to get it up and operational. The Port Neal ammonia plant is a lot less complex than the Port Neal is – or Port Neal is less complex than D-ville because Port Neal is a 2,200-ton a day plant where D-ville is a 3,300-ton a day plant and configuration of the Syn-Loop in Donaldsonville is much more complex. There's a whole 'nother section to it. So, as we look at this, we feel very comfortable in terms of being able to get the plant online here by the end of the year and that's why we continue to say, it's $800 million in terms of the tax refund next year because we expect to get everything online.
Dennis P. Kelleher - CF Industries Holdings, Inc.: Adam, this is Dennis. I just wanted to clarify something that I heard in your question. The timing of the refund doesn't have anything to do with what happens at Port Neal. The timing of the refund has to do with when you get your tax return in and when that gets processed through. And given what we anticipate today or what we see today, we anticipate that that will be a third quarter event next year, that is the refund. As Tony described to you, the Port Neal piece has to do with the amount because it's what drives ultimately, for a portion of our depreciation, whether you have depreciation in your tax clause for 2016 that you carryback or whether you don't and how much. And like Tony said, it's not an all-or-nothing type thing, there's a sort of a continuum of outcomes, but our strong expectation remains that we'll be fully depreciating those assets this year.
Adam Samuelson - Goldman Sachs & Co.: That's helpful. And then, just a follow-up on – on slide 26 of your deck that has the EBITDA sensitivity to gas, urea prices. I just want to be clear, that's – the urea prices as you've laid them out, those are CF realized urea prices, not kind of a NOLA benchmark? And as I think about the current environment, maybe the environment for the next 6 months to 12 months where you're finding the value of ammonia and UAN on an end ton basis, the spreads are a little bit different than they've been historically and I presume how you would envision them prospectively, your results over the next, call it 2017, wouldn't necessarily mirror this table, given differences in spreads and product prices.
W. Anthony Will - CF Industries Holdings, Inc.: Yeah. I mean, as you point out, this is based on kind of a pro forma simulation of the various spreads that existed for our last full year, which was 2015 and if there are differences going forward, that's going to change. The vertical axis is our realized price, but I think in the third quarter, the published average NOLA price was $180 and our realized price was a little over $200. And so, we would expect that spread to go up once Port Neal comes online because we are adding about 1.4 million tons in market that's going to have a $30 a ton, $40 a ton premium associated with it because of transportation cost from the Gulf. And so, that kind of gives you a general sense of kind of the premium to the Gulf that we would expect. In addition, although ammonia is a little bit different animal because of the volume that's available out there in the deepwater market, we would expect UAN premium to come back in line with urea. And we can switch back and forth between granulating more or producing more solution, depending upon where that premium sits. And to the extent that you don't get the corresponding bumps that you would expect in UAN, we'll just shift the product mix. So, I think over the medium-term to long-term, those things have to come back into rough equilibrium. Otherwise the producers are going to shift the mix and the end values have to trade at a minimum on parity with very likely UAN continuing to command a premium the way it has.
Adam Samuelson - Goldman Sachs & Co.: That's really helpful. Thanks.
Operator: Thank you. Our next question comes from Sandy Klugman from Vertical Research. Your line is open. Please go ahead.
Sandy H. Klugman - Vertical Research Partners LLC: Yeah. Hi. I was hoping you could comment on the weakness in industrial demand that you cited in your release and I assume some of that is phosphates. But is there anything worth highlighting in the DEF market? And on DEF, do you have any updated thoughts on how that market demand evolves over time?
W. Anthony Will - CF Industries Holdings, Inc.: Yes. So, when we mentioned the weakness, it's more the weakness in the ammonia price structure and why that was driven more in relation to the contractual structure of our industrial book of business, which is gas-based as well as Tampa-based and Tampa is very low. Demand has been a little bit lower in the industrial segment due to some of the issues around caprolactam and phosphate. I think it's just with more of additional phosphate exports out of China has put a little more pressure on some of the other phosphate producers in terms of overall volumes and possible changes in mix as moving some to micro nutrients, as Mosaic has mentioned, away from possibly that. So, weakness – I don't think it's anything we're concerned about. Our volumes are, we think, going to hold steady. Regarding DEF, we're very – we're positive what's going on in the DEF market, continued demand. We're going to have a record year on DEF volume. Pricing is holding up. We're continuing to see the growth of 30% to 40% that we have seen year-on-year. I do think just due to this slight slowdown in shipments, you have probably seen the Class 8 truck volume – the new truck volume slowing down a little bit on that end, but you do have additional demand coming from off-road as well as different segments. So, we're positive on the DEF front and continue to invest and grow and build the team and participate in that business.
Sandy H. Klugman - Vertical Research Partners LLC: Okay. Great. Thank you. And just a follow-up question on ammonia, a significant nitrogen equivalent discount to urea and UAN that you were discussing. Do you see this having any meaningful impact on how growers choose to apply nitrogen? Are there any early reads on direct application demand for ammonia versus demand for urea and UAN resulting from the lower prices?
W. Anthony Will - CF Industries Holdings, Inc.: There's something important to remember here, which is the ammonia price, when it's weak, it primarily affects the industrial demand that Bert was talking about. In order to be able to get ammonia into the farmer's fields, you have to have a place to move it to. And it's not like urea where you can just leave it on a railcar, put it in a shed kind of thing. And UAN, there's a lot of availability of tank space. With ammonia, you have to have big cryogenic storage tanks. There's principally only three companies and they are the producers that own those. CF has got the largest network of the ammonia tank terminal system. Koch has got some and Agrium has got some and then there's kind of onesie-twosie tanks here and there that are owned by other people like Trammo and so forth. But if you don't have the storage terminals, then you can't take Gulf ammonia up into the marketplace and get it in the hands of the farmers because you've got no place to move it through. And so, even though there is some impact in terms of agricultural demand or agricultural prices for ammonia, it's not directly tied to Tampa ammonia the way urea price in the Midwest is tied to NOLA urea price. So, that's one of the reasons why the distribution terminal system that we've got in ammonia is so valuable because it allows us to capture a pretty sizable spread between the value of agricultural ammonia versus cheap or relatively cheap deepwater ammonia.
Bert A. Frost - CF Industries Holdings, Inc.: Relative to your question on demand and changes in demand patterns, we've experienced two falls, 2014 and 2015, that were below expectations and below normal but that was weather-driven. And then, we experienced two record springs in 2015 and 2016. And so, as I mentioned earlier, when you look out on a10-day to 30-day forecast, we see some positive developments in all of our terminal region even up in Canada, which receives snow in October. In limited applications, we see that drying out and temperatures staying in the 50s in the afternoon, allowing probably the applications to accelerate. And when you look at, as a farmer, for corn, you have a number of options for and applications thereof. For ammonia, traditionally, in the past, it was 180 pounds per acre, you put it on the fall and you plant it in the spring and off you go. That has changed with a different agronomic prescription. And so, we have seen a little bit less applied in the fall and then pick-up an additional applications in the spring two, three and four stage applications, a combination of ammonia maybe side dress ammonia or UAN top dress or even flying over with urea. Each of those are positive for us. And so, we do see ammonia in the fall as a component to good agronomic corn practices and we see that continuing.
Sandy H. Klugman - Vertical Research Partners LLC: Great. Thank you very much.
Operator: Thank you. Our next question comes from John Roberts from UBS. Your line is open. Please go ahead.
John Roberts - UBS Securities LLC: Thank you. You talked about getting back to investment grade. I'm sure your creditors pressured you on the dividend here through these discussions. Can you get back to investment grade without adjusting the dividend? And then, once you get back to free cash flow positive again, is that a priority over buybacks or how do you think about the priority?
W. Anthony Will - CF Industries Holdings, Inc.: Yeah. So, John, on the dividend, if you look at our balance sheet, we have almost $1.6 billion of cash on the balance sheet. We've got an undrawn revolver. We've got $800 million of cash coming to us next year in the form of a tax refund. And so, that's before dollar one of operating profit. And so, the problem is not from an investment grade standpoint, the dividend or our liquidity situation – we have plenty of cash. The issue is all around in the near-term, the pricing environment and the EBITDA generation relative to the aggregate amount of debt that we've got outstanding on the business. And so, change the dividend, don't change the dividends, it doesn't have a meaningful impact in terms of that particular metric and that's why we worked really hard on the secured credit facility to make sure that we've got the flexibility that allows us to continue paying the dividend going forward because that's an important element for the equity holders. So, our focus is to get back to investment grade and we are planning, as Dennis articulated earlier, to retire the debt that comes due in 2018, that's $800 million. And so, we'll be de-levering at that point, that will certainly help. And then, as we move into price recovery in the sector about that time, we expect that will help as well. So, we're going through a short duration situation here but it's not really dividend-dependent. Dennis, do you have other...
Dennis P. Kelleher - CF Industries Holdings, Inc.: No, I think that's right.
John Roberts - UBS Securities LLC: And then, secondly the industry, obviously, has a very high level of M&A activity underway. You've been a participant in the past. What are your current thoughts around the industry consolidation?
W. Anthony Will - CF Industries Holdings, Inc.: I mean, I think consolidation, generally speaking, is a constructive force. It allows for kind of rational behavior and, in general, there's synergies to be had. So, I think it's the kind of natural consequence of things when you go through these cyclical troughs, periods like we're going right now. Sorry, let me go back to one question, the second half of the question you asked earlier which is, is our preference dividend or share repurchase. As a general theme, we like to maintain the dividend. We don't want to be in a situation where we're reducing that. But I think on a day-in, day-out basis for consistent and timely return of capital back to the shareholders, our biases towards share repurchase, we think that tends to be a more efficient vehicle to do that with.
John Roberts - UBS Securities LLC: Good pivot away from the M&A question.
Operator: Thank you. At this time, I would like to hand the conference back over to Mr. Anthony Fusco for closing remarks.
Anthony Fusco - CF Industries Holdings, Inc.: Thank you, everyone, for joining us this morning. If you have any additional questions, please feel free to reach out and we will respond accordingly. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's event. This concludes our program. You may all disconnect, and have a wonderful day.